Operator: Hello, and welcome to Escalade's First Quarter 2023 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Patrick Griffin, Vice President, Corporate Development and Investor Relations. Please go ahead.
Patrick Griffin: Thank you, operator. On behalf of the entire team at Escalade, I'd like to welcome you to our first quarter 2023 results conference call. Leading the call with me today are President and CEO, Walt Glazer; and Stephen Wawrin, our Chief Financial Officer. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. At the conclusion of our prepared remarks, we will open the line for questions. With that, I would like to turn the call over to Walt.
Walter Glazer: Thank you, Patrick and welcome to those joining us on the call today. As expected, our first quarter results were impacted by anticipated softening in consumer demand that carried over from the fourth quarter. Early in 2023, elevated channel inventories have weighed on the pace of reordering at retail, particularly with our archery and basketball categories. Based on recent POS trends and discussions with our retail partners, we believe this is a dynamic that will normalize for most of our categories as we move further into the year. Market conditions were further impacted by cooler temperatures across many areas of the country during the first quarter, which curtailed outdoor product demand. January was particularly weak, although we then experienced month-over-month improvement in demand conditions as we progressed through the first quarter, supported by improved orders for our indoor games, fitness and safety categories. While our overall e-commerce sales declined in the quarter due to inventory destocking within our marketplace and at third-party reseller customers, our owned direct-to-consumer e-commerce sales increased 44% on a year-over-year basis in the first quarter, reflecting continued consumer demand for our products and the effectiveness of our product development, marketing, and e-commerce teams. In combination, these factors contributed to a year-over-year decline in both revenue and profitability during the first quarter, a circumstance made even more challenging compared to the record performance in the first quarter of 2022. At an operational level, we continued to face some supply chain headwinds that led us to incur elevated inventory handling and storage costs in the first quarter. These costs, along with less favorable product mix shutdown and severance expenses and lower sales volumes impacted our gross margin in the period. Despite these challenges, we've continued to maintain our price discipline, which has served to partially offset demand softness. We believe the general stability and pricing speaks to the resilience of our brands and the loyalty of our generally more affluent customer base. Looking forward, we expect to see our inventory trend down towards more normalized levels as we move throughout the year. That said, we expect demand in the second quarter will remain challenged, albeit less so than in the first quarter, adjusting for the change in our reporting calendar. We also expect margin pressure from elevated inventory handling and storage cost will decline, while an improved sales mix and lower cost inventory will also result in better margins as we move through the year. Strategically, we've continued to focus on investing in innovative product development and consumer engagement to build market leading positions in key growth categories. For example, we recently introduced technology into the Pickleball category, the all new malice and mayhem Pickleball paddles are the first to be released with our patented thermo fuse technology, which molds the Pickleball paddle to exact specifications and provides our Onix brand with our robust product development platform. These new paddles feature an all new carbon fiber power frame for greater strength, power, and better feel. We also launched an expansion of the Evoke premier family with paddles featuring raw carbon fiber surface texture, which increases traction for maximum spin and control without sacrificing pop and power. Our champion pro Pickleball players, Matt Wright, Lucy Kovalova, Callie Jo Smith, as well as many others play tested these paddles and provided a key input before their recent release. I'm happy to report that they are already winning medals in the top tournaments with these new paddles. We are also launching innovative products in several key categories in over the coming months. Stay tuned for those exciting new developments. As we navigate the current challenging demand environment, we understand the importance of maintaining an appropriate cost structure and healthy balance sheet. We have successfully faced similar challenges over the past century and are responding to this temporary situation by reducing our costs and generating cash to reduce debt. To that end, we recently announced our intention to divest our own facility in Rosarito, Mexico as part of an initiative to optimize our manufacturing footprint. We currently expect to close the sale of this facility by year-end 2023 and anticipate annualized savings of between half $0.5 million and $1.5 million. In the meantime, we will have some costs associated with winding down this facility, including roughly $600,000 that we expensed in the first quarter. In addition to the divestiture of our Mexico operations, we have also initiated a targeted reduction in force during the second quarter 2023 within our domestic operations. We anticipate $2.3 million in annual savings resulting from the domestic reduction beginning in the third quarter of 2023. Between the divestiture of our Mexico operations and planned reduction in force here domestically, we anticipated total annualized savings resulting from the recent cost action to be approximately $2.8 million to $3.8 million annually. We are carefully evaluating additional expense reduction and cash generation opportunities to ensure we maintain an appropriate cost structure and healthy balance sheet. We remain highly disciplined around all discretionary capital allocation, and as a result have also reduced our planned capital expenditures for the full year 2023. We successfully amended our credit agreement to address temporary higher leverage. As of the end of the first quarter, our net leverage reached 3.8 times, which is well above our targeted range of 1.5 to 2.5 times. As seasonal demand and normalized channel inventories drive improved cash flows, we expect our leverage to trend back toward our targeted range by year-end. Entering the second quarter, our team continues to do an excellent job navigating the current macro environment while also ensuring that we remain competitively positioned to support our customers. While the current environment is challenging, our category leading brands and loyal customer base provides some level of insulation from this volatility. While we continue to see attractive opportunities to expand our portfolio of high quality products, we will prioritize organic growth over acquisitions during what remains a transitional period for the consumer and as we deliver our balance sheet. I am proud of the hard work and dedication of our team as we continue to focus on delivering exceptional customer experiences that build brand loyalty, all while creating long-term shareholder value. We look forward to updating you with our progress next quarter. With that, I'll turn the call over to Stephen for his prepared remarks.
Stephen Wawrin: For the three months ended March 31st, 2023, Escalade reported a net loss of $952,000, or a loss of $0.07 per diluted share on net sales of $56.9 million. For the first quarter, the company reported gross margin of 19.4% compared to 27.8% in the prior year period. The over 800 basis point reduction was primarily the result of unfavorable product mix, non-recurring inventory handling and storage cost, sell off of high cost inventory, as well as cost associated with the divestiture of our facility in Mexico., Selling, general and administrative expenses declined 2.3% compared to prior year period to $10.3 million. The decrease in SG&A expense year-over-year was caused by lower variable selling expenses offset by the addition of Brunswick Billiards, severance expenses and timing of certain selling expenses. Earnings before interest, taxes, depreciation and amortization declined by $9 million to $1.6 million in the first quarter of 2023 versus $10.5 million in the prior year period. Total cash provided by operations was $4.5 million for the quarter compared to a use of $2.9 million in the prior year period. The increase in cash flow from operations reflects cash generated from improvements to working capital as a result of a reduction of receivables through the first quarter of 2023 and stable capital expenditure of approximately $700,000 during the first quarter, which is relatively flat to the first quarter of last year. As of March 31st, 2023, the company had total cash and equivalents of $6.1 million, together with $32.9 million of availability on our senior secure revolving credit facility maturing in 2027. At the end of the first quarter of 2023, net debt outstanding or total debt less cash was 3.8 times trailing 12-month EBITDA. As Walt mentioned, after the end of the quarter, we proactively took steps to address our temporarily higher leverage. As such, we have worked with our banks to amend our credit agreement, which improved our flexibility. In addition, we announced this morning a quarterly dividend of $0.15 per share to be paid to all shareholders of record on June 12th, 2023, and dispersed on June 19th, 2023. One last important thing to remember, effective on January 1st, we transitioned to a conventional 12-month reporting calendar. As a result, the first quarter of 2023 had 90 operating days as opposed to 84 in the prior year period. This dynamic will continue to have an impact on the comparability of our results throughout the rest of the year. With that, we will open the call for questions.
Operator: Thank you very much. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Rommel Dionisio with Aegis Capital. Please go ahead.
Rommel Dionisio: Good morning. Thanks for taking my question. When you talk about the targeted reductions in the U.S. and I understand if they haven't been even made yet, the sensitivity of informing people and all that, but I just in general terms, is that the letter corporate? Is it infrastructure, marketing? Could you maybe walk us through the components of when the organization that might lie? Thanks.
Walter Glazer: Sure. Rommel, thanks for your question. It's really -- we're looking -- leaving no stone unturned. We're looking everywhere. I would say primarily the employee counts are occurring within our business units, as we reduce production to work down our inventories. We need fewer production employees, so a lot of it is occurring in that area. But as I say, we're looking at everything and being very thoughtful in how we address our cost structure going forward.
Rommel Dionisio: Okay. And I know you've gone to fairly flexible manufacturing and fairly lean. You've been run pretty lean over the last several years. Do you have the ability to flex up in -- when the period of inventory restocking comes back and consumer demand comes back, or is it the type of thing where you've -- you also made acquisitions over the years and probably have a lot of personnel that maybe you won't necessarily need to add back? How do you kind of think about that? Thanks.
Walter Glazer: Yeah. So, being able to flex up is important and we want -- as we make reductions, we want to make sure we keep key people, key skills, key abilities. But I can tell you that we're seeing in certain areas -- like particularly in fitness, we're seeing a strong increase in demand. And you may recall fitness was the first to decline. We're seeing that it's really the first to come out of the post COVID environment. So, in our facility in Illinois where we produce a lot of the fitness products, we are increasing our headcount. We're hiring. I can't tell you that hiring is still a bit challenging, better than it was a year ago, but we're able to increase our workforce where and when we need it.
Rommel Dionisio: Great. Thanks very much.
Operator: Thank you.
Walter Glazer: I'll add if I may -- if I may just add one last comment, and that is, that this sales decline is disappointing. But we believe it's largely the result of destocking in our customer base. Our POS at -- our major retail customers, it was down low single digits, and our wholesale shipments to those customers was down 21%. So, we know that the inventory destocking cannot go on forever, and that gives us confidence that that this will resolve itself over time. And I can also report that the -- our April results were better than March, which were better than January. So, we have some degree of confidence in our plans for the future.
Operator: This concludes our question-and-answer session. I would now like to turn the call back over to Patrick Griffin for any closing remarks.
End of Q&A:
Patrick Griffin: Once again, thank you for your interest in Escalade and joining our call. Should you have any questions, please feel free to reach out to contact us at ir@escaladeinc.com. This concludes our call today. You may now disconnect.